Operator: Good day, ladies and gentlemen, and welcome to AmpliTech Group's Quarterly Investor Update Call, where the company will discuss its Second Quarter 2024 Financial Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to turn the call over to AmpliTech's management.
Unidentified Company Representative: Thank you for joining today's call to review the progress for AmpliTech's growth initiatives and to answer investor questions. On the call today are AmpliTech's Founder and CEO, Fawad Maqbool; the company's CFO, Louisa Sanfratello; and Jorge Flores, the company's COO. Following initial management comments, we will open the call for investor questions. An archived replay of today's call will be posted to the Investor Relations section of AmpliTech's corporate website. This call is taking place today, Wednesday, August 28, 2024. Remarks that follow and answers to questions include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally include words such as anticipate, believe, expect or words of similar importance. Likewise, statements that describe future plans, objectives or goals are also forward-looking. These forward-looking statements are subject to various risks that could cause actual results to be materially different than expected. Such risks include, among others, matters that the company has described in its press releases and in its filings with the Securities and Exchange Commission. Except as described in these filings, the company disclaims any obligation to update forward-looking statements, which are made as of today's date. With that, let me turn the call over to our CEO and CTO, Fawad Maqbool.
Fawad Maqbool: Hello, everyone. Thanks for joining our Q2 2024 review call today, which will reflect our performance in the second quarter of 2024 and discuss the company's growth and outlook and market opportunities. For the second quarter, we reported revenue of $2.5 million with gross profits of $1 million. Company maintained a healthy gross profit margin of approximately 42% amidst inflationary pressures. However, due to the significant decrease in global demand and recessionary market dynamics, we did not meet our projected revenue goal. This economic situation with the global and domestic markets continues to be a factor affecting most of our customers across all product lines. Hard to believe that our largest customers like Viasat, CPI and L3 Harris Communications, to name a few, are suffering losses and/or lay-offs. Semiconductor distribution sales from our Spectrum division also decreased due to softer international demand, mainly from Hong Kong, which is controlled by China now since there was a sustained perfect storm of negative market conditions contributing to our loss of revenue for the better part of the first half of the year. We couldn't have predicted such an event would ever occur since we have never experienced this before. Naturally, this is a significant factor in many of our losses. The good news is that this is just -- and yes, I will use the word transitory. Overall, the company reported a loss of $1.57 million for Q2 2024 and as mentioned above, attributed largely to a combination of unexpected lower global and domestic sales, increased corporate expenses and our continuing R&D efforts to sustain licensing and certifications required for development and pending market release of our new 5G products. As of June 30, 2024, we had cash, cash equivalents and accounts receivable in the amount of approximately $2.1 million and working capital of nearly $10 million. Our inventory position, however, remains healthy with over $7 million of raw materials and finished goods available to support immediate customer needs. Company is ready to service customers as normal demand for our products is expected to resume in the upcoming quarters. We have started seeing an increased stream of RFQ activities since the beginning of third quarter. We're confident that the investments we've been making in new products should generate higher returns and profitability for the company. Our products are designed to be not only cutting edge, but also light-touch labor and supported by the automated holding and other capabilities of the multifunction CRM system we have in place. Our goal is to lower our cost and increase our profit margins. Looking ahead, here are some key highlights to provide some revenue guidance for the upcoming quarters. In our public 5G business segment, our Massive MIMO ORAN 5G, 64T/64R, a lot of numbers, cellular radio, which is designed for towers and base stations is in its third month of testing at the OTIC Center at Northeastern University. The University by the way, is powered by AT&T and Verizon. It's the most advanced radio of its kind to replace current 4G LTE and other obsolete equipment and is moving flawlessly towards completion before the end of the year. It's planned for full deployment in public 5G networks on public MNOs, those are mobile network operators like AT&T, Verizon and T-Mobile to fulfill the mandates to provide open, flexible architecture developed mainly by US companies. As such, it should be noted that AmpliTech Group via it's AmpliTech Group True G Speed Services division is the only US-based Massive MIMO ORAN 5G radio and network equipment provider. Just think of what this means in terms of competitive edge and potential market capture for AMPG. This positions the company to replace existing equipment from foreign vendors due to security and other economic concerns. Furthermore, in our private 5G business segment, the company has now developed a full end-to-end private 5G license product solution. This offering integrates advanced ORAN radios, central and distribution units, antennas, core servers and addressable range of FWA or fixed wireless access devices delighted tailored for diverse deployment scenarios, including buildings and residential homes. Yes, I did say residential homes. FWA replaces cable and fiber-to-the-home or business and makes high-speed connectivity virtually cable free. This means obsoleting cable or fiber solutions. This is a major monetization opportunity with large volumes and enormous total addressable market and revenue potential. AGTGSS private 5G end-to-end solution is designed to meet burgeoning demand for reliable and high-performance 5G networks outside traditional cellular infrastructure. And by 5G networks, I mean through 5G, not 4G LTE or some enhanced versions. By combining the state-of-the-art hardware components with expert planning and optimization services, which the AGTGSS Group offers, this ensures a seamless deployment and operation of private 5G networks delivering True G Speed Services exceeding 1 gigabit per second data speeds. These private 5G networks will be in airport, airlines, mines and et cetera. So there's a big demand for corporations to have their own private 5G networks. The company expects to announce within the next couple of months, key relationships and initial key 5G deployment contracts domestically and abroad. So please stay tuned. At this time, our customers at home and abroad tend to take long summer vacations. And some of our investors like to take their tax losses. So they don't let drop in our market cap stall you. It should only be again, transitory. The rest of the year should provide -- prove to be very exciting. Now I'd like to shed some light on our AmpliTech Inc. business segments. High-performance satellite ground station LNB. The LNB is a key component that is located at the center of satellite dishes that enables all satellite communications and therefore, represents a large growth opportunity due to the levels of expected revenue. You've all seen these large dishes, you've seen the TV trucks outside transmitting, they have the dishes on top and the little white box in the center. That's what we're talking about. The company has also made strides in driving demand for its new LNB product lines. Taking advantage of its low noise proprietary technology, these LNBs provide satellite companies with unparalleled performance. For example, the Ku-band LNB market size was valued at $103.2 billion in 2023 and is expected to reach $156.1 billion by the end of 2030. With the company's newly released low-noise advanced MMICs, from our MMIC design centers, the performance of these LNBs are unparalleled in this industry, giving us a marked advantage over our competitors. Company has been actively quoting these LNB solutions and expect sales for our X-band, Ka-band and Ku-band LNB product line, match or exceed all regular LNA production sales within a year from now. Again, it should also be noted that our company is the only US-based designer and manufacturer of these high-performance LNBs. These are used by many satellite-enabled companies in GPS, content streaming for cinema in TV, news distribution, high-speed Internet and even airline Wi-Fi. These are just a few. There are many other military and commercial industries representing another large monetization opportunity. Like the 5G solutions, we have a similar unique technical advantage over other industry players. So we're never a me-too product. Cryogenic power supplies. The company also recently announced the release that is line of cryogenic power supplies for the quantum computing industry. These new units complement this line of cryogenic amplifiers and are being quoted as a set to interested customers. Our AmpliTech Inc. division also take orders for its cryogenic amplifiers during this quarter, marking a milestone for the company. The first order was awarded from a major leading quantum computing company within the US. Currently, there are only two manufacturers capable of supplying the required low noise performance at subzero temperatures. One is located overseas and the other is AmpliTech. Again, this makes AmpliTech the only US-based domestic manufacturer for these types of cryogenic products. Once again, this is going to be a significant factor for the company to obtain a leadership position in the quantum computing industry and gives AMPG a significant competitive advantage to be a leading enabler for next-gen AI and computing -- quantum computing applications. MMICs and chips. Our AGMDC division has released over 100 new MMIC and chip products since its inception. All these configurations are available now for sale at our newly completed online store, where customers can readily participate in the superior performance products online 24x7, thereby leading to a continued stream of revenue for the company. Our global distribution partner, CDI, which distributes locally and abroad, provides local customer service and application support across the Americas, is actively marketing our products, which includes obsolete replacement parts from large semiconductor companies no longer manufacturing these products. This opens up even more opportunities for our MMIC division. In addition, our AGMDC center has the capability of designing custom parts. Most recently, our AGMDC division received and performed a custom design for a well-funded space company start-up, which the company believes we will win their program. This project will require hundreds of thousands of MMIC parts to be supplied over the next two to four years. In addition to this, our MMIC division is designing the most advanced chipsets to build into our own 5G products to further differentiate us from our competition in terms of speed, throughput performance and reliability of the 5G equipment. That was a summary of some of the products we have been investing in to align the company with exploding industry demand for innovative and disruptive technology. These products have high margins, high volumes, high-performance differentiation and best at revenue leased to near-term profitability due to the very large TAMs for these markets. Furthermore, on 5G initiatives, the company plans key global trade show participation to promote its 5G suite of products and new disruptive technology. We have just begun that 5G marketing. It's in its infancy, but we plan on growing that aggressively. I've said a lot, and I fully hope all of you understand our dedication for success. In closing, we're proud that our investment in our research and product development efforts have yielded leading-edge technology that will drive our revenue growth for the next few years and beyond. Our products enhanced our clients' entire communication system and our commitment remains unwavering to aid our clients in shaping the future of communications and thus improving the quality of life for everyone. Our team has been working relentlessly to develop the lowest noise, lowest power dissipating amplifiers on the market, and these are included in our new 5G and wireless infrastructure products and MMIC design for the satellite, wireless and 5G markets, including the advanced military and commercial markets. We've also expanded into the design of full-service true open radio access network, ORAN public and private 5G network deployments, actual deployments. These offerings are cutting edge end-to-end solutions. We have painstakingly developed strategic partnerships with giants of the industry. We now have a fully licensed end-to-end private 5G solution we are offering to the 5G market. We just recently released news on our first MoU to deploy a domestic private 5G network on the West Coast. Moreover, we're excited to be bringing these products to market at a time that the 5G infrastructure market is projected to reach $99 billion by 2030 according to industry research. This tremendous growth outlook reaffirms our belief in the significant potential of our product line to serve this market. Despite the weakening economic trends experienced during this initial six-month period, we remain optimistic about our sales prospects. We anticipate that global demand will bounce back as market conditions improve. Our 2024 fiscal year marks the third year of our five-year growth plan after we became public. Please remember that we still have two years left in our plan to realize and generate tremendous value for the company and our shareholders. From what I mentioned, it's evident that we have made great strides during these initial three years after becoming public. Considering all of the negative dynamics around our public presence, which incidentally has never been fairly evaluated by the market even when we were profitable, we expect this to change once we gain the traction we anticipate in the coming months. We thank you, as always, for your continued patience and trust. Thank you. We'll now open the call for questions.
Operator: [Operator Instructions] The first question comes from Jack Vander Aarde at Maxim Group.
Jack Vander Aarde: Okay, great. Thanks a lot. I appreciate the update. And you've covered plenty of ground. There's a lot to chew on here. Maybe it would be helpful, just if we could just kind of compare some of the stats and just general stuff that you provided a few quarters ago and just get an update on that in a simplified way. In terms of the overall pipeline size maybe, I think it was over $120 million about two quarters ago. I'm not sure if you guys are still tracking it the same way. But can you just maybe help us provide an easily, like an easier way to understand what's the pipeline at and kind of what you expect from a revenue perspective for the rest of this year?
Fawad Maqbool: Well, first, Jack, you know that we've been facing heavy headwinds from all sides domestically and overall. For the election year, we have seen too often the customers pushing out orders again and again. So that's what we experienced, that pushes out our own projections that we've had before. And this situation is not just here in our company, it's everywhere, and it's not just related to the company. We've had our contract manufacturers do the same thing to us and as I said that every customer is doing that to them. So it's not something that we're just experiencing, but it does push our orders and our predictions out. On the good side, we're seeing increased RFQ activity in a combination of new RFQs and then just refreshing older quotations that we've been talking about and counting on before that had been pushed aside, but we just had to basically refresh the date for them to order. With that said, our 5G, in the opportunity funnel, we see about $130 million in our pipeline of opportunities. Historically, we've seen about a 25% conversion rate and opportunities to purchase order. So however, we just started our sales cycle for 5G. We haven't been able to start because of all these other conditions and getting licenses and certifications, it takes time. So we just feel that we're starting out on our 5G division, which means there's no real history of the conversion for that particular product line. But we can share that this, we're very excited about that and our engagements with the large 5G players, and we expect this business, 5G business will account for at least 75% to 80% of our revenues in 2025.
Jack Vander Aarde: Okay. I'm sorry, that business that's going to account for that percentage, is that the 5G overall, 5G tariff price or just private 5G networks?
Fawad Maqbool: Yes, 5G overall. Right now, we've just started to make a dent in the private 5G enterprise with our new suite of 5G products, but these are predecessor to our commercial 5G, which is the original radios that are planned for urban deployment by these MNOs by the companies like AT&T, Verizon. And in all probability, we'll probably start doing that internationally as soon as our radio for commercial applications, the large radio, the advanced radio that gets where we complete our certification and our testing at the OTIC Center that's in Northeastern University. We've already gotten demand for that same radio by international players that are looking to use them for urban communities. So it's a global play. But it's hard to push that in US domestic markets, although we've been contacted by all these large guys. But we definitely expect to see results after we complete our testing, we're in our third month. After our fifth month, which would be end of the year and early next year, we'll have the certifications and start receiving orders for the massive MIMO radios. But we should already start receiving orders for the private 5G.
Jack Vander Aarde: Okay. Great. Great. And you said about $130 million pipeline, give or take. Is that for overall AmpliTech or is that for 5G?
Fawad Maqbool: Yeah. It's for overall AmpliTech. And as we said, I mean, we're converting AmpliTech revenue stream and product line and market target focus into 5G and quantum computing and satellites rather than just amplifiers. We're converting our connectorized amplifiers and larger labor-related assemblies into MMICs and chips. This is what the goal was so that we can lower the cost and lower the prices and be more competitive for our advanced technology and then put it into our products like the quantum amplifiers and like the 5G radios and the satellite in space as well as ground.
Jack Vander Aarde: Okay. And then I think it was two quarters ago, I know you just kind of referenced it as well in your prepared remarks. But in terms of the revenue guidance you provided entering the year, it was like $35 million to $40 million. Obviously, there's been some delays with just across all your verticals. They're just delay like across the industry as well. It's something's specific to you guys. But just so we have an idea that $35 million to $40 million prior guide, is that a good proxy to think about maybe for your expectations for 2025? Just if you don't want to provide guidance, that's fine as well. But just so we have an idea of how to connect the dots back to that original guidance.
Fawad Maqbool: Yeah. I would easily say 2025, yes. I just can't say definitely what's happening in 2024 because of all that's happened. But we definitely see activity and we definitely are close to just thinking the orders. We've been -- as I said before, we've been painstakingly making these relationships. But for people to get to sign on the dotted line, it takes forever, especially in an environment like this or private 5G is a very, very technical product. And we have players that we're competing with. But because of our technology, we are going to get adoption very fast, there are not that many players that have that technology that we have. So definitely this year, we will see the increase compared to the first half of the year. We will definitely start to see bookings in the second half of the year. But definitely for 2025, easily $40 million or so that we projected.
Jack Vander Aarde: Okay. Understood. And then do you also expect your whole new MMIC line of business that that's going to essentially maybe double the existing run rates of the business. Are you going to be experiencing -- do you expect revenue to start trickling in from that during 2024? Or is that also a 2025 event?
Fawad Maqbool: Yeah. Jorge has been working on the MMIC division and also some key customers. I mean, Jorge, can you say a couple of words about that?
Jorge Flores: Yes. We already have some small revenues on the MMICs. But right now, though, definitely, we are going to be expecting to book this sizable order in hopefully in Q1, which is going to really drive the MMIC sales for 2025 and 2026. So we definitely expect a very good news early next year.
Fawad Maqbool: Yeah, not towards the end of this year, it can happen, but you can't say anything right now because of what's happening. Who knows what happens? We have the election coming up. There are so many uncertainties here that it's unusual circumstances.
Jack Vander Aarde: Absolutely. Absolutely. Okay. I appreciate that color. That's helpful. And if I could, maybe just circle back as it relates to the 4G, 5G tower upgrade opportunity, there's thousands of these cell towers across the US. And I know you've previously talked about -- these are higher -- this would be -- you have an out-of-box solution to upgrade these towers and it's a higher ASP. It's a big ticket item as well. Can you just remind us, is this a 2025 opportunity that you expect to ramp, how quick are you actively targeting certain towers already and working with industry participants or other third parties? How do you actually approach and target that opportunity? And how quickly can we expect those towers to be upgraded and be recognizing the revenue for AmpliTech?
Fawad Maqbool: So one, there's about a million towers in the US alone, all over the country. And then we're talking about not just US, so there's also global. This should be a lot. Now, when you remember, everyone converted from 3G to 4G and then 4G to what they call 5G. It was a massive deployment, right? Every company involved, including the tower companies like American Tower and Crown Castle, they were all experiencing significant growth. And I mentioned before that the new deployment for 5G is not even beginning yet. And it's going to be bigger than all the other Gs combined. So therefore, we expect first, to start off in the smaller areas from private 5G. That's why we did this and we licensed private 5G. We went through a lot of trouble to do that so that we can start revenue streams as soon as possible. And now we have actually a full complement of products. So we will definitely be able to start satisfying the customers. But all it takes is the first proof of concept and show that it's working. Everybody asks the same question. And we'll be doing that later this year and thinking a couple of smaller orders this year, and it could be big ones, too. But most of that, obviously, the growth will come in 2025, and we have partnered with strategic players, these are called system integrators. We partnered with them and also strategic suppliers that make key products like the software for all these radios and the spec hardware. We're providing end-to-end means that we're providing from the tower to the home CPE equipment, customer premise, which is the wireless routers that are very advanced they have higher than 1 gigabit speed, and they can be put in home, connecting to a private network or public network outdoors without any cables. So that's including Wi-Fi 7 as well. Wi-Fi 7, you've heard of, that's the new technology. Everyone wants it because it has higher bandwidth and higher speed. We have that already. We have Wi-Fi 7 and we have CPEs, we have tower radios, we have connection to the home wirelessly, everything you can think of. So we think it's a question of marketing, and marketing and brand awareness, and the partnerships that we're making with the larger players that have actually second-tier providers that provide the systems. We are connecting with them to be their hardware provider and service provider so that we're going to obtain this business by climbing up the ladder. And therefore, it's an immediate access to the markets. And it's not just us doing all the heavy lifting. It's our partners helping us to get there.
Jorge Flores: I would like to add something, Jack. This is Jorge. For the private 5G networks, right, in addition to the enhanced security and the data speeds that we can offer our customers, there is also the monetization aspect of them being able to add subscribers and become a revenue-based service for them. So it's not just an expense, it is also ROI related because they will be able to add subscribers at a fee -- at the monthly fee, just like I currently have in your cable services or getting a Wi-Fi signal into your homes. So our private 5G networks enable our customers who is going to own this network to add subscribers on a monthly basis, they're going to be able to provide credentials, user names, passwords they're going to be able to provide levels of services, do they want 600 megabits per second, do they want 1 gigabit per second, right? And then they are going to be able to charge their customers for this service and we'll do the maintenance for them as well. So that's why we feel so excited that we have this end-to-end, which is fully licensed now and we are definitely speaking to a lot of customers and trying to educate the customers also that this is not just enhancing your security system, but also it provides them with monetization experience and capabilities all in these networks.
Jack Vander Aarde: Great. No, I appreciate that. And maybe just one more question for me. You put a press release out a few -- I guess it was last week actually, where you announced your MoU with -- for a private 5G network. And kind of towards the end of that press release, you mentioned, you expect maybe -- you expect revenue to commence within this, I think the current fiscal year. It could be at value in excess of $1 million within -- finalized within three months after receipt. Can you just maybe touch on that, this particular press release in this prior 5G network, that $1 million potential contract, how does that kind of -- is that just for the first phase of this? How does this -- how do you expect this to ramp up? That would be helpful.
Jorge Flores: Yeah. For example, though, this will be one of those projects that we call like a proof of concept. We use this terminology, seeing is believing, a lot, right? So that's why our public Massive MIMO radios are undergoing interoperability testing so we can get those badges, those certificates, so then we can have proof, right, that what we said already is do -- is going to be certified. In this particular case with the private 5Gs, we have these very smaller initial projects that we work with the customers, right? So they're going to be able to start doing deployment in phases, right? So basically, like Phase 1 is going to cover X area on this city. And then like once they see the functionality, the data speed, the performance of the network and then we're going to be able to open it up into more cities. And then the strategy, of course, is going to be rinse and repeat through all their cities, all municipalities across the United States.
Fawad Maqbool: And Jack, to back on that point, where -- I mean, this is dealing with actually cities and municipalities where things move very slow. So we have to make sure we don't know timing wise, things get delayed, things gets personal, but we definitely are there. We're definitely are there and things will happen, and we'll be announcing that soon.
Jack Vander Aarde: Okay. Well, great. Look, that's it for me. It sounds like there's a lot of irons in the fire here. It's interesting to track it all, but I look forward to watching you guys execute. And also it sounds like you'll be announcing some official partnerships and potential contracts in the near future. So, best of luck, and that's it for me. Thank you.
Fawad Maqbool: Thank you, Jack. Appreciate it.
Operator: [Operator Instructions] This concludes the Q&A session. I will now turn the call back over to Fawad Maqbool for closing remarks.
Fawad Maqbool: Thank you, operator. Thanks to everyone who joined today's call to hear about the progress we've made and the plan we have adopted to further our company's mission of providing the communication systems of tomorrow, today. We look forward to updating you further on our Q3 financial results call in mid-November. Till then, please contact us directly if you have any questions or wish to schedule the call with management. Our Investor Relations team can be reached as the contact information listed at the bottom of our press release. Thank you, and be well.
Operator: Today's conference call has now concluded. Thank you. You may now disconnect your lines.